Operator: Good morning and welcome to the PPL Corporation Fourth Quarter and Year-end 2022 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Andy Ludwig, Vice President of Investor Relations. Please go ahead.
Andy Ludwig: Good morning everyone and thank you for joining the PPL Corporation conference call on fourth quarter and year end 2022 financial results. We provided slides for this presentation on the Investors section of our website. We'll begin today's call with updates from Vince Sorgi, PPL President and CEO; and Joe Bergstein, Chief Financial Officer. And we'll conclude with a Q&A session following our prepared remarks. Before we get started, I'll draw your attention to slide two and a brief cautionary statement. Our presentation today contains forward-looking statements about future operating results or other future events. Actual results may differ materially from these forward-looking statements. Please refer to the appendix of this presentation and PPL's SEC filings for a discussion of some of the factors that could cause actual results to differ from the forward-looking statements. We will also refer to non-GAAP measures, including earnings from ongoing operations and adjusted gross margins on this call. For reconciliations to the comparable GAAP measures, please refer to the appendix. I'll now turn the call over to Vince.
Vince Sorgi: Thank you, Andy and good morning everyone. Welcome to our fourth quarter and year end investor update. We'll keep our remarks brief this morning given the comprehensive update we shared with you on January 11th. We continue to be extremely excited for PPL's bright future and the value we intend to deliver for our customers and shareowners. Turning to slide four, 2022 was a remarkable year in PPL's history, one that has completely redefined our company. It marks the beginning of a new era as we are now positioned as a premier pure-play US regulated utility holding company. Our strategic repositioning began with the sale of our UK business in 2021 and concluded in May of 2022 with the addition of Rhode Island Energy and its almost 800,000 customers. I'm very proud of the execution from our team to close this transaction and complete the transition activities to-date with National Grid. We are on schedule to complete all of the TSAs in 2024 as originally planned. The acquisition of Rhode Island Energy also enhances our scale and enables PPL to be a leader in our sector for years to come. This includes positioning our company to deliver top-tier 6% to 8% earnings and dividend growth through at least 2026, with one of the best credit profiles in our sector, our balance sheet can support our growth without equity issuances throughout the planning horizon. And while we executed on our strategic repositioning, we remain steadfast in our pursuit of delivering excellent financial and operational results in 2022. First and foremost, we achieved ongoing earnings of $1.41 per share, beating the midpoint of our forecast, which we had increased in November. This is a fantastic accomplishment considering all the extra work our teams completed this past year in connection with our strategic repositioning. In addition to delivering solid financial results, we also laid the groundwork for capital investments we need to make for years to come, in our pursuit of delivering an exceptional customer experience at an affordable price. Specifically, we presented a balanced investment plan in Kentucky to replace nearly 1,500 megawatts of retiring coal generation. This plan best positions our utilities in Kentucky to serve our customers with safe, reliable, affordable and sustainable energy while the state fosters significant economic development and growth. We also designed a series of plans for our newly acquired Rhode Island Energy, strategies to deliver the energy grids necessary to achieve the state's impressive clean energy goal of 100% renewable energy by 2033. These plans include advanced metering, grid modernization and our first infrastructure safety and reliability plans under our ownership. These plans emphasize just some of the robust investment opportunities at our utilities. We're also looking at potential regulated investment opportunities beyond our four utilities, leveraging our expertise in transmission development to open new doors for potential growth. This includes our strategic partnership with WindGrid, an Elia subsidiary, where we are exploring offshore transmission solutions in New England. Any investment opportunity stemming from this partnership, are not included in our capital forecast and represent potential upside to our long-term growth plan. On the operational front, during 2022, we maintained our top quartile reliability in Pennsylvania and Kentucky, despite the increased frequency and severity of storms in our service territories. And in just a few months of ownership, Rhode Island Energy has experienced a marked improvement in reliability and exceeded 2022 expectations by more than 10%. One example of this excellent performance was during Winter Storm Elliott. Rhode Island Energy was the first major New England utility to achieve full customer restoration in the early morning of Christmas Day. We also maintained our top quartile customer satisfaction at PPL Electric Utilities and Kentucky Utilities. And while we're proud of these achievements, we are sympathetic to the concerns of our Pennsylvania customers who experienced increases in their December bills as a result of higher energy prices. While we don't control the price of electricity supply, we know that it can have a meaningful impact on our customers. And while the default rate for PPL Electric's non-shopping customers increased in December, many of our customers who have chosen third-party suppliers saw even higher price increases and are paying significantly more than our default rate of approximately $0.145. Our most recent review of shopping results found that in November, over 40% of our residential shopping customers paid a higher rate than our default rate. Over 100,000 customers paid a rate between 25% and 100% more than the default rate and nearly 20,000 customers paid more than double our default rate. For the last two years, PPL Electric has been a vocal advocate, on behalf of our customers, for greater safeguards and other actions to protect them from overpaying for their electricity supply. We proposed various consumer protection reforms with our Pennsylvania legislators and regulators and are again having discussions with them for the benefit of our customers. In addition to higher bills from these increased energy prices, a large number of our PPL Electric Utilities customers received estimated bills in December due to a technical issue. The timing of higher electricity bills and the increased number of estimated bills created some confusion and concern for customers. We have since fixed the technical issue and have temporarily doubled the resources at our call centers to address customer questions and significantly reduce call wait times. And in further support of our customers, we've waived late fees and expanded our no-shutoff practice over the winter to include all residential and small business customers. We're also focused on communicating even more with our customers about high energy prices and what customers can do to minimize their energy bills. While this is an important topic for us and our customers that I wanted to address today, I want to be clear that we do not expect this matter to have a significant impact on our financial results. As we've discussed at length, one of the key aspects of our strategy is to drive operating efficiencies across the entire business. In developing our strategy, we anticipated affordability being a key area of focus for customers and regulators, even before we saw the effects of inflation and high commodity costs. We all know the energy grids need significant investment to ensure reliability and resiliency while preparing for renewables, DERs and more electrification. This is why our plan best positions PPL to achieve our goals while focusing on affordability for our customers. Turning to Slide 5. PPL's outlook for 2023 is one that is simply focused on executing our utility of the future strategy. In my 2022 recap, I discussed that we are on track with our integration activities with Rhode Island Energy. An obvious top priority for 2023 is to remain on track with our Rhode Island integration, setting us up for completion in 2024. We have a $2.4 billion capital plan that improves the safety, reliability and resiliency of our networks while addressing our customers' evolving needs. We're on track to deliver the first leg of our $175 million O&M savings target by 2026 with $50 million to $60 million of savings in 2023 as we deploy our playbook and continue to optimize our operations. These savings will provide a strong basis for us to deliver the midpoint of our 2023 earnings forecast of $1.58 per share. Recall, this forecast represents a 7% increase from our pro forma 2022 forecast of $1.48 per share. We will also focus on the regulatory filings in Kentucky and Rhode Island to deliver lease cost and reliable energy for our customers and help to advance the clean energy transition. Turning to Slide 6. As we executed our strategic repositioning over the past few years, we took a hard look at how we wanted to be defined as a company and management team. Simply put, we want to be the best utility company in the US, the best set of learning safe, reliable, affordable and sustainable energy to our customers and competitive long-term returns to our shareowners. We've included on the right side of the slide, the categories that we'll use to measure our success against our peers. In short, we will be targeting top decile or top quartile performance and safety, reliability, customer satisfaction and cost efficiency, while at the same time, targeting a premium stock valuation. While we're not there yet in all categories, I firmly believe we are on the right path to get there. And I'm excited to see us advance down this path. With that, I'll now turn the call over to Joe for the financial update. Joe?
Joe Bergstein: Thank you, Vince, and good morning, everyone. Let's turn to Slide 8. Our solid fourth quarter financial results closed out a great year for the company. Fourth quarter GAAP earnings were $0.26 per share. Special items in the fourth quarter were $0.02 per share, primarily due to integration and related expenses associated with the acquisition of Rhode Island Energy, partially offset by a tax benefit due to the provision to final 2021 tax return adjustments, primarily related to the sale of WPD. Adjusting for these special items, fourth quarter earnings from ongoing operations were $0.28 per share, an improvement of $0.06 per share compared to 2021. With these strong fourth quarter results, our 2022 GAAP earnings totaled $1.02 per share. Special items for the year were $0.39 per share, primarily related to integration and related expenses associated with the acquisition of Rhode Island Energy. Our ongoing earnings for the year were $1.41 per share compared to $1.05 per share for 2021 exceeding the midpoint of our earnings forecast for 2022. Turning to the ongoing segment drivers for the quarter on slide nine. Our Pennsylvania Regulated segment results improved by $0.01 year-over-year. Results were primarily driven by higher sales volumes due to milder than normal weather last year and increased returns on additional capital investments in transmission. These improvements were offset partially by higher O&M expenses. Our Kentucky segment decreased by $0.01 per share year-over-year. Improved sales volumes in Kentucky also due to milder than normal weather experienced last year were more than offset by higher O&M and interest expense. The addition of our Rhode Island segment increased earnings by $0.03 per share for the quarter. Results at Corporate and Other increased $0.03 per share compared to the prior year, primarily due to lower O&M expenses, lower income taxes, and other factors that were not individually significant. These favorable drivers were partially offset by higher interest expense. Our strong performance in the fourth quarter reflects another proof point of delivering on expectations since our repositioning last year. Our results for the full year are on slide 10. We reported improved results across each business segment in 2022. The operating segment results presented here exclude the impact of share accretion, which we've shown as a separate bar on the far right of the slide. Recall that we used a portion of the UK business sales proceeds to repurchase $1 billion of shares back in the fourth quarter of 2021, resulting in $0.05 of accretion in 2022. We also used another $4 billion of the UK sales proceeds to reduce our holding company debt, strengthening our balance sheet to one of the best in the sector. This reduction of debt was the primary driver for the $0.10 improvement in our Corporate and Other segment for the year. Turning to the operating segments. Our Pennsylvania Regulated segment delivered a $0.06 per share increase for the year compared to 2021. The year-over-year increase was primarily driven by returns on additional capital investments in transmission, higher peak transmission demand, and improved sales volumes. These favorable drivers were partially offset by higher O&M expenses, including increased uncollectibles, additional vegetation management costs, and IT amortization costs. Our Kentucky Regulated segment earnings increased by $0.07 per share for the year compared to 2021. Our improved results in Kentucky were primarily driven by a full year of higher retail rates that went into effect in July 2021 and higher sales volumes. These favorable drivers were partially offset by higher O&M expenses, including vegetation management, plant outage and storm costs, and higher depreciation expense. Our Rhode Island segment added $0.08 per share to ongoing earnings for the year, reflecting the period from our acquisition in late May through the end of the year. This was a great year for the company and is yet another demonstration of our commitment to deliver on and exceed our financial goals. Turning to slide 11. We expect to keep that momentum heading into this year. Today, we are reaffirming our 2023 earnings forecast range of $1.50 to $1.65 per share and the midpoint of $1.58 per share. We remain confident in our ability to deliver our forecast by leveraging our proven operating model, a strategy focused on driving cost efficiencies to reduce O&M, which enables investments necessary to advance our energy networks in the most affordable manner. Our Pennsylvania segment results are expected to increase by $0.04 per share in 2023, primarily due to returns on additional capital investments in transmission and lower O&M, partially offset by higher interest expense. We project our Kentucky segment results to increase by $0.05 per share in 2023, primarily due to lower O&M, partially offset by higher interest expense. Our Rhode Island segment results are expected to increase by $0.08 per share in 2023, primarily due to the impact of a full year's earnings. We project corporate and other results to be flat year-over-year. Moving to slide 12. In connection with the request from many of our investors, we've reallocated our Kentucky holding company financing costs to corporate and other, beginning January 1. This reallocation provides a clearer view of the utility earnings for our Kentucky Regulated segment and is consistent with how we report the Pennsylvania and Rhode Island segments. We've illustrated the impact of this reallocation to our actual 2022 ongoing earnings on this slide to show the 2022 segment results on a consistent basis with our 2023 segment forecast. Moving to slide 13. Our Board of Directors has declared a quarterly cash dividend of $0.24 per share to be paid on April 3 to shareholders of record as of March 10. As we discussed in January, the $0.24 dividend is a 7% increase that aligns with our predictable, linear and competitive annual EPS growth of 6% to 8%. This is also within our targeted dividend payout range of 60% to 65%, combining our targeted EPS growth with our dividend yield provides investors with a compelling total return proposition in the range of 9% to 11% per year. This is consistent with our mission of delivering long-term returns to shareholders. That concludes my prepared remarks, and I'll turn the call back over to Vince.
Vince Sorgi: Thank you, Joe. Over the past two years, we've taken bold steps to transform PPL for long-term growth and success and to improve shareowner return, while building on our core strengths. Since then, we have continued to deliver on the goals we set, exceeding the midpoint of our 2022 earnings forecast, advancing industry-leading grid modernization, providing highly reliable electricity and gas service and economically advancing our clean energy strategy. And our plan provides investors with an attractive return proposition, one that the entire management team and I intend to deliver. With that, operator, let's open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Shar Pourreza of Guggenheim Partners. Please go ahead.
Shar Pourreza: Hey, team.
Vince Sorgi: Hey, Shar.
Shar Pourreza: Hey, Vince. Just two quick ones here after you guys obviously had a comprehensive update a little while ago. But just -- I know you guys are obviously targeting $50 million to $60 million of O&M savings this year, but it's been kind of a super mild winter, Q1 looks to be a little bit rough. I guess how comfortable are you around the 158 midpoint when you're also layering in sort of interest expense pressures and some of the externalities we're seeing out there. So I guess if the tail risks don't abate can you sort of pull forward some of that incremental $70 million in O&M savings next year into this year? I guess, can you just talk a little bit about the contingencies here? Thanks.
Vince Sorgi: Yes, Shar. Look, I would just say we still remain incredibly confident in our ability to hit the 2023 forecast. As you've mentioned and with many of our peers, right, I would say the most significant potential headwinds or factors that we're looking at today are interest rates and inflation. And then, of course, weather, which you referenced and its impact potentially on sales or our storm costs. I would say regarding inflation and interest rates at this point, we're really not seeing anything significant enough that we don't think we can manage as we look forward for not only 2023 but going forward. And I would just reiterate that we built a plan to withstand volatile markets and still enable us to hit the targets that we've laid out for you all. So we're still very confident, don't necessarily see the need to really accelerate O&M, but that's always a lever we have at our disposal.
Shar Pourreza: Great. And then just lastly, Vince, that's helpful. Just on the Kentucky CPCN process, interveners are obviously starting to line up, looks like there's been some delays on solar PPAs and the PSC just engaged a consultant, right, to do an analysis earlier this week. Can you just speak to the process a little bit more broadly and what we should be watching for interveners and procedurally between now and your next update in the spring? Thanks.
Vince Sorgi: Yes, sure. So the CPCN process does continue, I would say, really on plan as was laid out in the procedural schedule. Last week, the KPSC granted several interveners, their motions to intervene short, none of those were a surprise to us. So I would say everything, again, progressing as we would have expected there. The next step is for us to get the data requests from the interveners, which are due to us by the end of today actually. This will then start a series of requests and testimony that are scheduled really to continue through mid-August. And then once we get through that, that will culminate with the public hearing during the last week of August. And then as I think you know, the commission has indicated that they expect to provide a decision by November 6.
Shar Pourreza: Got it. Terrific. Fantastic. That’s all I had and congrats and we’ll be seeing you real soon. Appreciate it.
Vince Sorgi: Great. Thanks, Shar.
Operator: The next question comes from Durgesh Chopra of Evercore ISI. Please go ahead.
Vince Sorgi: Hey Durgesh.
Durgesh Chopra: Hey, good morning. Good morning team. And Vince very helpful. Thank you for your commentary on the Pennsylvania billing issue, we were getting some questions on that, so I appreciate the color. I just had one quick follow-up, rest, everything is pretty clear. The -- you've asked for AFUDC in Kentucky, is that part of this CPCN filing, or is that a separate decision? What should we be looking for there and how to track that specifically?
Vince Sorgi: Yes, that will come out through the CPCN process, so that will be resolved all at the same time to get, Durgesh.
Durgesh Chopra: Got it. Okay, perfect. Thank you so much. And go Eagles for 2024.
Vince Sorgi: Not an Eagle stand, but that's okay.
Operator: The next question comes from Paul Patterson of Glenrock Associates. Please go ahead.
Vince Sorgi: Hey Paul.
Paul Patterson: Hey, how is it going? On the call, I think you were -- in your prepared remarks, you were talking about like discussions with regulators about affordability and what have you. I was just wondering if you could give a little bit more color as to what they might be looking at and if you have a little bit more discussion about Kentucky and I guess, Pennsylvania, what you're hearing there?
Vince Sorgi: Yes. So, some of the things that we were -- we've been engaged in Pennsylvania, really with our -- with the state legislature as well as our regulator, the PUC. Most significantly, Paul, we've requested to have customers return to the EDC, so right, the companies like PPL Electric and to return to our default rate when they come off the standard offer program as that's where we've seen our customers gauge the most when they come off the standard offer plan. In some cases, our customers' rates have increased by more than 300% in the months following, coming off the standard offer program. So, we -- our recommendation was just to have folks once the standard offer program ends. If they hadn't already signed up for a new plan that they would just default to our default rate, which would limit how much the price could increase as opposed to, like I said, this 300% or more, which we have seen some of our customers get it with. We've also requested that suppliers provide detailed information about their agreements to our customers, both to the electric companies. So, again, companies like PPL Electric as well as the PUC, so that we can augment any supplier notifications and make sure that our customers understand some of these plans that they're signing up for. We've also asked for tighter restrictions around introductory or teaser rates as well as variable rates. Again, our customers have been impacted significantly by some of those areas. So, overall, I would just say we're really trying to see greater accountability with our suppliers.
Paul Patterson: Okay. That makes a lot of sense. This is kind of a problem that's sort of plagued choice -- retail choice jurisdictions around the country, I mean, if you look over the years, there are some places that are talking about actually limiting customer choice to more sophisticated customers. In other words, there just doesn't seem to be a lot of value that's being driven by these third-party providers in many cases. And is there any talk about that? And anywhere in any of the areas that you operate?
Vince Sorgi: I'm not seeing that yet, Paul. But again, so we've been engaged with our public officials over the last couple of years on trying to get some of these measures implemented, and they haven't to-date, we are continuing to engage with them. I think, it's more pronounced now with what we've seen with wholesale power prices and natural gas prices. So we will continue to engage on behalf of our customers to try to get these wholesale -- or not the wholesale rates, but the rates that third-party suppliers are charging our customers. In many cases, as I said in my prepared remarks, customers are paying a lot more, even more than double our default rate. And you can go out on the PUC's website and actually get prices that are even cheaper than our default rate. And so, it's a huge issue, as you mentioned, and that's why we're spending a lot of time right now on educating our customers to make sure that they know what plans are available, but also to just make sure they really read the fine print and understand the plans that they're entering into and doing what's best for them and their family.
Paul Patterson: Okay. Awesome. Thanks so much. Have a great one.
Vince Sorgi: Thanks, Paul.
Operator: The next question comes from Angie Storozynski of Seaport. Please, go ahead.
Vince Sorgi: Hi, Angie.
Angie Storozynski: Hi. How are you? So I have a question about Kentucky. And it's -- I understand it's a bit premature, I guess. But given the time line for the approval by FERC of the Kentucky Power sale, I think it's increasingly likely that, that transaction doesn't happen. And I'm just wondering, if this asset stays within AP, they're probably going to try to boost its growth profile, which -- that could result in additional coal plant retirements or plans to retire coal plants. And I'm just wondering, how do you think that could impact your pending proposal? I mean, we've been hearing some noise in newspapers in the state about reliability concerns on the back of coal plant retirements? And again, just thinking bigger picture if there were to be more large state utilities with a similar growth path or towards the coal plant retirements, if that could actually derail the process, or do you think actually that could be helpful?
Vince Sorgi: Yes, I'm not sure, I think, it would impact us one way or the other, Angie. I think, again, our CPCN has been designed to strike an appropriate balance with different fuel sources to provide that safe, reliable and affordable energy, while we're replacing 1,500 megawatts, that is reaching our end of lives. We've been very clear that we have not accelerated the retirement of our coal plants. These are plants that are end of life. And -- so our CP, or CPCN, with the commission is really how best to replace that retiring coal generation with the least cost, most reliable sources of energy. And as you know, we have a balance of combined cycle plants in there with solar, with some storage, et cetera. So I don't know that I would see the -- whether the sale process or whether the asset remains with AEP really impacting our process.
Angie Storozynski: Okay. And then secondly, assuming that you do get the approval, the certificate of -- the certificates from the Kentucky Commission, would you then file a rate case to recover the investment, or the plan would be either see a rider recovery or basically further cut costs to pay for the capital spending and the return on it? Yes. So we do -- we are requesting AFUDC coverage for the capital investments we would be making under the CPCN. So that would provide us with the earnings aspect of making those investments before they go in service. From a cash perspective, again, one of the reasons why we have the balance sheet that we have is it enables us to engage with our regulators to mitigate near-term rate impacts, but at the same time, get the investments done that we know we need to get done. And then we would pick that up in a rate case sometime in the 2026 or later time frame.
Angie Storozynski: Okay. And then lastly, this point that you brought up about retail choice. So it's kind of an interesting time, right? Because if you think -- I mean, I'm assuming that you guys had procured electricity ahead of time, so you had likely locked in elevated power prices. So wouldn't actually retail choice makes sense to residential customers in this power price environment where power prices have fallen pretty dramatically, as such that there should be a positive differential between what a retailer can offer versus what the incumbent utility offers, no?
Vince Sorgi: Yes, you would think so, Angie. So our price to compare is about $0.0145. There are suppliers out there that are below $0.10 exactly to your point. We've had to procure that power over six, 12, 18 months time horizons in accordance with the PUC process. So yes, so we're not necessarily getting the immediate impact of the precipitous decline in energy prices over the last month or two. Some of our suppliers are, which they're able to provide, like I said, $0.10 contracts, it makes it interesting that many of our customers were paying $0.20 and over $0.30 in December for their third-party supplier energy. So great point.
Angie Storozynski: Okay. Thank you. Thanks for taking my questions.
Vince Sorgi: Sure.
Operator: The next question comes from David Arcaro of Morgan Stanley. Please go ahead.
David Arcaro: Hey, good morning. Thanks for taking my questions. A couple of minor questions here. I just wanted to check on the reallocation of the Kentucky Holdco drag, I was just wondering, are there any implications there either from a regulatory perspective or from like a debt refinancing perspective as you shift that into corporate and other, or is it really just as simple as moving around that EPS drag?
Joe Bergstein: Hey, Dave, it's Joe. It's -- there's no implications to either of those. It's really just the reallocation of those costs that we were -- we had been allocating to the Kentucky segment to and really from an investor perspective to align the Kentucky segment to the similar way that we had been reporting Pennsylvania and Rhode Island. So no implications there.
David Arcaro: Okay. Got it. Great. That's helpful. And then I was just curious, would you expect any ongoing elevated costs or personnel activity or anything like that on the back of the billing issues in Pennsylvania in terms of the call center resources or anything like that, or is it going to be just temporary in terms of response there?
Vince Sorgi: Yes. No, that will be temporary, David. We do have third-party contracts that we can lean on in times of need, which we've done. We've also reallocated some of our existing folks in other departments and train them up on the call center activity. So, yes, of course, the third-party contracts, we could dial those up and down as needed and then our internal resources -- they'll just go back to their other departments when we're through with the call center duties that we have been doing.
David Arcaro: Okay, understood. That’s all I had. Thanks so much.
Operator: The next question comes from Greg Orrill of UBS. Please go ahead.
Greg Orrill: Yes, thank you. Just with regard to the CPCN, how does the impact of inflation play into that with inflation/supply constraints?
Vince Sorgi: So, those price estimates that are in our CPCN are all based on current pricing. And we ran the RFPs in the summertime. So, those RFP prices are included for solar projects. And again, we're using our internal cost estimates for the combined cycle units and any of the solar that we're proposing that we build. So, I would say cost estimates are up-to-date there. No major issues with having to adjust those with what's in the CPCN.
Greg Orrill: All right. Congratulations.
Vince Sorgi: Thanks Greg.
Operator: The next question comes from Paul Zimbardo of Bank of America. Please go ahead.
Paul Zimbardo: Hi, good morning. Thank you.
Vince Sorgi: Good morning Paul.
Paul Zimbardo: And good to hear about the Rhode Island reliability improvements so quick off the bat. Shifting to the gas side in Rhode Island, I know there's that future of gas proceeding ongoing. Just could you talk at a high level how that could impact the spending plans, whether in terms of magnitude or timing?
Vince Sorgi: Yes. So, it's -- we're early in that process, Paul, as you know. We did put a capital plan together to ensure the safety and reliability of the gas network while we work with the state on the future of gas docket, that will take some time to get through. Again, as we think about the gas networks, not only in Rhode Island, but across the country. We certainly see a future for those as to folks like EPRI and other independent research agencies in terms of the fuel that's flowing through those LDCs may be different. They may not be 100% natural gas. could have renewable natural gas, hydrogen, we could have other sources of fuel flowing through them, but there are certain processes that just don't lend themselves to electrification. And so long-term, while we certainly support and expect there to be a lot more electrification, we also expect there to be a need and a use for gas LDC networks. And so making sure that those networks are safe and reliable now continues to be a top priority, but we will certainly be engaged with the state on the long-term future of that network.
Paul Zimbardo: Okay, excellent. Thank you. And one unrelated and I know you may be a little limited in what you can say, but just is there any update on the talent litigation or arbitration now that, that bankruptcy process has wrapped up? I know it's a legacy one, but just hope we can put that one to bit bed sooner rather than later? Thanks.
Vince Sorgi: Yes. There is actually -- we are entering into mediation next week on February 22. That will be before one of the judges in the Texas bankruptcy court. So, yes, there is an update there. We'll be heading into mediation next week.
Paul Zimbardo: Okay. Thank you very much.
Vince Sorgi: Yes.
Operator: The next question comes from Neil Kalton of Wells Fargo. Please, go ahead.
Neil Kalton: Hi, guys. Just a question on Rhode Island. Yes. It looks like based on the guidance for 2023 that, if my math is right, it might not be, that you will be significantly under-earning the ROE. So my question is, are the cost savings coming in as expected thus far? And then, in terms of bridging that gap? Is this something that is ultimately going to require regulatory relief in 2026, or can it be accomplished faster?
Joe Bergstein: Hey, Neil, it’s Joe. So a couple of points there. First on the Rhode Island guidance for 2023. I think, we've discussed in the past a few times that we expect to experience some variability or noise in our Rhode Island earnings as we work through the transition period and stand up Rhode Island on our systems and processes. And so, that's what you're seeing here. The primary driver of those lower earnings are due to costs, as we work our way off the TSA, their costs such as staffing up our operations, training our new full-time employees, things like that. I do expect that to normalize once we've completed the TSA period in 2024. And again, we expected this from the outset, and it's been embedded in our projections. And so, our outlook for Rhode Island remains very positive, as we execute the plan, and I certainly expect to see growth there in 2024. As far as the O&M savings that we're projecting for 2023, the $50 million to $60 million, those come predominantly from Pennsylvania and Kentucky for the same reason I talked about in Rhode Island. We're still working our way off those TSAs. So until we're on our systems and processes, we can't really drive O&M savings there through the transition period.
Neil Kalton: Okay. Understood. And do you think by 2025, we're going to be earning close to the allowed there, or is -- it might take a little bit more?
Joe Bergstein: I think, 25% is certainly a normal year. We'll be off the TSAs by that period, sometime in 2024. So we get a clean year in 2025. It will have been some time since the last rate case there. I think National Grid's last rate case was 2018. So we certainly expect to see an improvement in ROEs. We may need a rate case following that. But I think we'll continue to work through the plan and execute what we have in store there and see where we are. But we feel -- again, we feel good about the growth prospects in Rhode Island.
Neil Kalton: Got it. Thank you.
Joe Bergstein: Yes.
Vince Sorgi: Thanks, Neil.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Vince Sorgi for any closing remarks.
Vince Sorgi: Thanks, everybody, for joining us. I just want to reiterate, again, really pleased with our 2022 results where we ultimately came in, what we accomplished in 2022 to set us up for 2023 and beyond and just, really remain confident in our ability to deliver on what we've laid out for you all. And I can tell you the entire management team is aligned around the new strategy, and we're really looking forward to delivering it. So, with that, hopefully, we'll see you guys on some of the conference circuits or on MDRs and look forward to chatting with you then.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.